Matt Barrie: Hello, and welcome to the Freelancer Limited Third Quarter of 2024 Financial Results Presentation. My name is Matt Barrie. I'm the Chief Executive and Chairman of Freelancer Limited. Today, with me in the room, I have Neil Katz, Chief Financial Officer; Cohen Wisniewski, who runs the Loadshift Division; August Piao, who runs Escrow; Andrew Bateman, on my right, who runs the Enterprise Division and Product, along with Adam Byrnes, who is the VP of Products & Growth. As per usual, after the call, we'll do Q&A, and you can address your questions to either myself or any of the executives in the room. Today, Freelancer delivers GMV for the third quarter of AUD$279.8 million, which was up 25.9% on the prior corresponding period. The Freelancer GMV was $32.8 million, which is down slightly at $3.8 million on pcp. The Escrow GMV was $247 million, up 31.2% on pcp. Group net cash receipts was $14.2 million, up 3.9% on pcp. The Freelancer cash receipts was $10.9 million, slightly down at 4.3% on pcp. The Escrow cash receipts were $3.3 million, up 44.9% on pcp. The group achieved positive NPAT for the quarter. Escrow actually is on track for its fourth year in a row of positive earnings. We had positive net operating cash flow of $2.3 million for the quarter, which was up fairly substantially on last year. And year-to-date, we have positive operating cash flow of $4.4 million, up 88% on pcp. We ended the quarter with cash and cash equivalents of $21.7 million, which is up slightly on the previous quarter. Getting into each of the divisions. Now the Freelancer Group is a mini Amazon services. We've got three businesses that I think are all leaders in their own right in each of their spaces. Freelancer, which is the world's largest online cloud workforce, about 76 million professionals from around the world. Escrow.com, which is the world's largest online Escrow company, which allows high-value and complicated payments to be transacted safely across the Internet, and Loadshift, which is the largest online heavy haulage freight marketplace in the country. All three are very strategic in their own right, and we are in the fields of labor payments and freight, which all businesses large and small need. In terms of the Freelancer Division, the Freelancer GMV, I've talked about and net receipts were slightly down on the year. But as you'll see shortly, we think that this – the core marketplace has turned, and we'll go through our reasoning behind that and we look forward to actually, I think, some pretty good quarters coming up. In the third quarter, we added 1.96 million users to the marketplace and 204,000 new projects. Our closest competitor is somewhere in the vicinity of 25 million, 30 million or so users. So we are by far the largest online marketplace for work in the world in terms of number of users, and that allows us to do many things in terms of breadth and depth, as you'll see with some of the work later on in this call. The average project size in the third quarter was US$258, slightly down on the previous quarter. But you can see the general trend is that, that number is going up, and that includes all projects going to the marketplace, large and small, including our Loadshift division. Liquidity continues to improve, and there is nowhere else in the world in terms of labor, which has the liquidity that we have out there, and you can test that for yourself. The average bids per project now is 47, which is up 11.9% on pcp, which means when you post a project, you'll have an average 47 different options of people who do the work for you from around the world. And what's absolutely astonishing is that the average entries per contest now is 414, which is up 36% on pcp, which means we have contests running from $10 to $10 million. The smallest contest might be designed for me a logo for $10. The largest one we have running now is for gene editing in the central nervous system of humans with the National Institutes of Health and NASA at AUD10 million. User acquisition, in particular, has shown a remarkable improvement over the year and particularly in the quarter. And this is why we think that we have turned in a reasonably significant way, and I'll show you some more graphs in a second to explain this. But user acquisition is the front end of the funnel, which is acquiring customers, particularly clients that post jobs on the site. That is currently up 25% year-on-year in terms of the deposits or cash that these clients put into the business in the first 30 days after sign-up. This represents a dramatic turnaround from a 7% negative number that we had in the pcp, which is a positive swing of 32 percentage points to the upside. These stronger, more valuable cohorts are progressively replacing earlier groups and establishing a good foundation for further growth across the course of the year. And we'll talk about why this happened a little bit later on. We've implemented a number of things really grinding out the acquisition side of the business and also on the retention side. In particular, we have been releasing a series of targeted product enhancements that have really improved the retention such as work on the collaborative tooling, the workrooms that we have on the site and updates, an easy facility for Freelancer to provide updates to clients so that they basically stay engaged through the course of a project. We validate our improvements through rigorous A/B testing, and we've also had a big program on product quality and user experience, which I've talked about in the prior quarters, and I think these are really starting to bear fruit. First-week client retention has increased about 5% on pcp on a weekly rolling basis. This is actually fairly significant, far more significant than the number might indicate on first glance because it's the number of clients that will progress past the first week and continue to transact up to the second week and so forth. And we've seen also lifts across the later weeks up to week six as well, and we will continue to focus on that as we roll out more improvements to the collaborative tooling and so forth. Our improvements have enabled us to avoid what you'll typically see seasonality between Easter and the Northern Hemisphere summer. Typically, every year for the last 15 years, with the exception of a couple of years in COVID a few years ago, you would see a seasonal decline as people went out and enjoyed their holidays and so forth from Easter to the summer holiday period. We didn't see that this year because we have been winning in terms of just chipping away on a number of the metrics. And as of today, we actually see positive year-on-year numbers for GMV revenue and deposits on a rolling monthly basis. So we are starting to see green and I'll show you that in a second. So that's quite a good testament to the rigor that the product team has put in over the course of the year. And the trajectory is clear on our year-on-year fee and GMV data that since February, we've really closed the gap on the previous year's performance and now we are starting to exceed it. And so I'll show you a couple of graphs that will indicate this. This is the gross marketplace value. So it's the money earned by Freelancers. And in this particular case, this graph is from rookies. So this is new clients on the site. And you can see here the top graph is in terms of absolute numbers. You can see here we are clearly exceeding the previous year's numbers now for client acquisition. And in terms of the relative basis, you can see that we – from really February onwards, we really started to just chip away and there's been consistent growth over the course of the year, and now we are substantially positive in terms of the acquisition side of the funnel for the Freelancer core marketplace. And I'll note this is not – this is ex Enterprise. It's purely the core ex Loadshift. It's purely the core of the Freelancer marketplace. This is the GMV as a whole for the core marketplaces, the earnings from both – for Freelancers from both new and old clients. And you can see here again that really since February, we've just been chipping away that day by day, month by month, and these numbers are now hitting green in the last short time period. And we expect that they will continue to be green and grow on that gap through the course of the rest of the year. We had four focuses on products this year. The first was to turn Freelancer from a pain killer into a narcotic, which is basically to really focus on retention and make it a very compelling product to integrate in the workflow, the everyday life of a small business. The second was to reinvent the world of work in terms of an AI revolution. There is a couple of things we are doing here. One is obviously applying AI to personalization and managed services across the platform. We are getting some pretty decent results, which has been a driver behind some of these A/B tests we've been running, which has generated financial return for us. The second is positioning Freelancer as the place that you go to in the – for AI development. In the course of recent history in business transformation, you had a period of web development through the late 1990s to today, it's about 30% of our work. Web development, then you had mobile and app development, which happened with smartphone revolution. And the next period of time is going to be AI development as every business will deploy AI agents across support and other functions in order to get the next leg of productivity up basically using technology. The next was to rethink client acquisition in a world without Google. We think that with generative AI, there will be new channels opened up and potentially traditional search-based channels might struggle. We haven't seen the latter yet in terms of our data from Google. In fact, we're doing very, very well in search, but we are opening up new channels with both generative AI and also with [Virality]. And the next is really to take UX to the next level. We've got quite a good level of consistency now with our design system, particularly on large screen desktop environments. I frequently get confused about whether I'm on Facebook or X or what have you. On mobile, we have a little way to go, but we are really hitting our stride now in terms of that, and we are certainly getting the recognition from our customers if you look at all the feedback. So I won't get into probably too much detail here in terms of going into each of those in depth. But we've really been focused on improving product quality across the board. We believe this is a direct impact on the overall customer experience, propensity to retain those longer-term clients. I'll show you in a second. We lead all the major platforms by some margin in terms of the reviews and scores we get on Trustpilot and similar sites like Sitejabber by some margin. We are the leader in terms of the star rating and the number of reviews. We also have been introducing new and sticky and retentive products into the marketplace. And examples are our work on collaboration such as Project Updates & Workrooms. And we've also been improving marketplace conversion, particularly the use of AI and also our liquidity and matching quality. Our liquidity surpasses all other competitors by some margin, and you can test it for yourself posting a contest or a project on Freelancer versus our competitors. And probably skip down on the conversion side, as an example of what kind of things we've been doing here. We successfully tested – A/B tested using AI to improve the conversion of our new clients, resulting in the count of clients with GMV up 9% within a 14-day window and up 14% within a 21-day window. And we've been chipping away – and I think, Adam, it's fair to say we've had a very good success rate this year with our A/B testing kind of just chipping away at various metrics across the funnel, which has, I think, led to what you see is that continued improvement in GMV performance and so forth. And all of those efforts have culminated in the 5% lift in pcp for first-week client retention I talked before. In talking about reinventing the world of AI revolution, I've talked about applying AI to various parts of the funnel, but also the GMV has doubled in terms of AI development that's going through the site in terms of projects from clients. I think this has not even begun. I think the average business in the Street does not know what you can do with an AI agent. And so we are busy putting together various demos of what you can do to transform your business. I think that, in particular, two very lucrative categories, as an example, will be AI agents that will pick up the phone and do customer support or pick up the phone, take an order, process a credit card, put it in the calendar. So for example, for a hotel, pick up a phone, take a booking and process a card and put in the calendar or maybe a hair dresser, pick up the phone and put something in the calendar, take booking and run a conversation that is very much lifelike. We have AI agents running on our platform already in textual mode. We have also some demos running in audio, and we can also get it working in streaming live video. But I really do think that those audio and textual capabilities of AI agents, particularly in support and basic administrative and basic sales are going to explode in the next 12 months and every business in the world will be making use of them. We also did pretty well with our organic channels and new client acquisition. As I talked about as a whole, within the first 30 days, deposits and physical cash from new clients is up 25% USD in year-on-year terms. Across the entire quarter, that was up 9% and new client revenue is up 6.6% in USD terms. So you are going to see this flow through in the next quarters because I believe this will continue fairly well. The growth stems from multiple channels. Our search engine marketing has delivered a lot of efficiency. We've had a 19% volume growth year-on-year with flat costs. So we've really managed to kind of work that channel really well after a huge investment we made over some time in getting a predictive model out from our data science team to get this really flying. So that's now finally starting to pay really good dividends. Our search engine optimization also successfully adapted, and that's actually up 60% year-on-year on a rolling monthly basis in terms of volume from new clients coming in there. So that's also extremely positive. And then direct traffic has also grown substantially, up 21% year-on-year on a rolling monthly basis. So this will continue to roll through the business in the next quarters, and I think we will ultimately make it through to some very good lift in a number of other metrics. Our AI-first job posting experience continues to deliver significant version improvements. We've got a pretty cool demo that we are going to come out with – when do you think that might be live for… Yes. Maybe by the end of year, we'll have a pretty exciting multi-modal real-time interactive way of actually getting work posted on the site, which is very different from how it is today, but I think it's pretty mind-blowing with some of the early stuff I've seen. We've also strengthened our marketing capability. We've got a brand marketing lead that's joined the company, and you will start to see that being applied everywhere. It's starting to appear in a number of different channels, and we are very glad to have them on the team. And we imminently launched a services marketplace, which is going to be a fiber-style catalog of services. We already have freelancers from the preferred group submitting a service to that catalog, having them curated and embedded and so forth for release imminently. So we'll have a new way of getting work done on the site in addition to the ways we do it today. In terms of the UX and design for those that use the site regularly, it really is getting – a lovely product to use. We rolled out a dark mode, which is a very big request from our users. We are actually going to A/B test that by default to see statistically what the results of that are, which I think will be very, very interesting because there is a Harvard business case study on eBay from many years ago on this, and I don't think anyone has ever looked at from a statistical perspective properly. And so we'll see kind of where that is. As I mentioned before, we are the highest rank of all the major freelancing platforms in terms of customer satisfaction. This is a very long-term multi-year effort that we put in. It's really a testament to our customer success team and how well they've been performing. This is a very tricky thing to do because quite frequently, the platform will get attributed a rating dependent upon the actual work that's performed by the freelancers. So if a freelancer marks up a job, typically, the platform will get blamed for it. So it is very, very hard to have a rating this high, and you can go browse the ratings of our competitors and just see how they perform compared to us and the number of reviews. So we've really put in a huge effort there. In terms of the Enterprise Division, we've got a major collaboration in generative AI with ultimately, which is going into training one of the largest foundational models in the world for $1 trillion cloud Internet company. We've sourced now over 100,000 freelancers across 52 languages for one project. We have about 17 projects we are working on with this particular partner across a range of different areas, everything from training the AI through dialects, through spoken word, reporting bits of information, through tagging, annotation and so on. We think this is going to be a very, very big space for us, an extremely healthy partnership. And we are flying on a week-by-week basis in terms of just the team's activity on this. In addition, we had new vendor onboarding across pharmaceutical, automotive, industrial, augmented reality and IT services and so on. We've got a pretty solid pipeline. The trick is, of course, trying to figure out from this very solid pipeline, how to get clients to convert. And we've figured out a number of characteristics, I think, that attribute to clients converting quickly versus being a longer-term sales effort. We've also redesigned an activation program, and we are deploying that across both new clients and existing clients. That's going pretty well. It's run out of our Vancouver team with Isaac. We partnered in the quarter with the Bahrain government, and there was a media release around that around doing, effectively taking people from a work from the [Dole] program and getting them to stand on their own two legs through cloud-based work. We believe that this program is repeatable across pretty much every government, both at the federal level and potentially at state level. So we are working on really building that out to being a solid program in the future. And we are doing that in partnership with one of our top freelancers on the site that's earned seven figures and is very famous on YouTube for their educational content. We also are expanding a major $1 trillion e-commerce account across global teams. And we've got some very good relationship there with quite a number of managers in that organization. We've got a leading healthcare company integrating our Global Fleet program for ongoing data-related tasks. And now our Global Fleet program, which is really Freelancer delivered anywhere in the world with any skill set at any location is across 247 countries, regions and territories. And we've got a revamped marketing collateral really promoting that and our capability. And we are applying that to not just generative AI, but also to field services. And our field service operation now has completed over 90,000 repairs to date across it's actually 49 cities and work order volumes of that program have been 81% of the pcp. For NASA and U.S. Government, we are currently managing about $10 million worth of work across eight initiatives, everything from climate models for NASA through to the chemical detection and water through to finding a way for data sets to be shared more efficiently through a citation model on the Internet. We awarded a next-generation water precipitation device, physical device challenge in the quarter in the U.S., and that's gone out through into field testing. We're involved in a robotics operating system project with NASA for future space missions. We're working with the Artemis program, which is for landing on the moon to help astronauts navigate when there's large craters and they don't have a good view of the skyline. So that's going live now. And also I mentioned that large gene editing competition, which we've partially awarded Phase 1 and will continue through on a multiyear engagement. We're also involved with the Orion Space Program in code coverage for bug detection. And we also just did some work on lowering the visual disturbance in air taxis when people take off. Obviously, they get air sick, and so there's ways to actually lower that instance of air sickness through some augmented reality sort of technology with the visual displays and the windows. Escrow had a pretty good quarter. GPV grew to $250 million, quarter of a billion dollars, with the bank accounts, up 31% year-on-year. As we foreshadowed in the previous quarter, we said we'd have a good quarter this quarter. We had the third highest revenue in September in the history of the company for Escrow. And as I mentioned before, we're on track to hit our fourth consecutive year of profitability. We've also seen improvements in our gross margins as well, fairly significant improvements in our gross margins with Escrow. The big thing is going into a major shopping cart platform. We're now through and live in a limited beta in the last quarter. And we are now basically working with the beta customers to make sure that, that experience is really slick and smooth and that all our back-end operational support processes scale along with what we anticipate will be scaling usage through that platform. It's one of the biggest platforms in the world for that. We actually have four shopping cart companies lined up. We have another one that's actually doing development themselves for their effectively checkout experience using Escrow. So shopping carts, I think, will be a very, very, very big focus for us over the next 12 months and into the future. Another big focus is automotive. We have quite a number of engagements now with various automotive platforms. We have an [RFIN] with a very large opportunity, which is potentially 10 digits in volume if we can get that going. That – so that's a slow burn, but we've gone through several rounds with that particular engagement, and I think we're in the final run for that. We have quite a number of North American, APAC and so forth automotive platforms that we're working to get integrated in. I think the automotive sector is ready to buy a car online completely. And we are the only multi-jurisdictional licensed escrow company across every single U.S. state and that is actually – that actually exists. So we provide a fairly unique offering, and we've got 25 years of history of processing card transactions. Of course, we do things like title collection and lienholder payoff and there's quite a number of other features we're building in a customized automotive experience. In the quarter for IPv4, we did a large block for a $1 trillion cloud provider buying off a European telco. That's a pretty big milestone. Domain and transaction volume is picking up a little bit as well. We expected to see that rise a lot faster this year, but we see that there's some – we think that the next 12 months, it should grow a bit quicker than it did this year. I will note that this week, I saw a couple of fairly large transaction domains go through. There's one going through right now for the mid-single-digit millions that it's pretty strong valuation. So we ticked up about 8.6% on the previous prior quarter from second quarter to third quarter. So there's a little bit of volume ticking up there. In terms of Loadshift, job postings were slightly down on pcp. There's a few things here. We do weed out people from the platform that are not going to pay through the platform. So we've been continuing to do that. But the quotes on the platform are rising very strongly. That was up 27.6% to about 94,000 quotes in the quarter. So it is a very functional marketplace now. So that transition from a bulletin board to marketplace is complete. It's about 8.1 quotes per job, which is a 47% uplift on the pcp. So we're now – at the point now where we're ready for the next big uplift in award rate, which will come with the deployment of in-app phone calling, which is going to be deployed before the end of the year. We've got it already working on iOS and Android is being developed, as we speak. Once we do that, we'll be able to lift this award rate up to the next leg. Plus, we've also managed to deploy real-time IRS data science pipeline to a type of data processing pipeline to basically analysis of the messaging going over the platform, and this has been a big lift, result in a big lift on Freelancer in terms of conversion. So we think these numbers for award rate will take the next big leg up over the next two quarters from all that work. Awarded loads has remained relatively stable at 3,155. The award rate lifted 27%, which is a really big thing – reached 27%, which is really the big thing here. We've been focusing on. We really want this award rate to get up to a fairly big number before we look at putting too much more volume in the front end of the hopper. And so we're just waiting for the calling to come out and then that should take a leg up. We launched a new Load Tracking feature. So now just like FedEx, you can track where your load is, the pickup, the waypoints, the delivery, the dispatch notes and so forth, the delivery notes, photographs, you can put in the GPS tracking link and so on. So that's a big step forward in terms of the functioning of the platform. So that's doing pretty well. So in conclusion, the group had positive operating cash flow of $2.2 million for the third quarter, which is up a fair bit on the previous year. It's $4.4 million for the year-to-date, which is up 88% on pcp. We had positive NPAT in the quarter for the group, and our cash was up slightly in the quarter on the second half end. So now I will open up the call to questions. As I said before, you may address your questions to myself or any of the executives in the room. I have the CFO. I have the heads of each of the divisions as well as enterprise here. Please open up the calls. And Alex, let me know if there's any questions coming through in the chat. There's nobody trying to ask a question. No questions yet, and so it takes a little bit of time before someone ask questions. So keep the line open.
Q - :
A - Unidentified Company Representative: Ray asks, is Freelancer progressing an update of its various charters and policies to be in line with the next update of the ASX Corporate Governance Council's Corporate Governance Principles and Recommendations due in early 2025?
Matt Barrie: Thanks, Ray. We took your previous feedback in the last call to heart. And in fact, in the Board meeting we had recently, we have a charter that's been basically put out there for adoption based on the updated rate. So thank you for bringing to attention and that basically is happening, as we speak.
Unidentified Company Representative: Alan asks, has there been any progress on improving liquidity of Freelancer?
Matt Barrie: I presume you mean in the stock itself. So we are going to boost up the Investor Relations program. In fact, we have a job ad going up possibly today. It's supposed to go up Monday to add someone to the team to assist in Investor Relations. And we also have some discussions with the IR agency to help. This is something we have been doing a good job at in terms of the IR, and it's something we are going to – we are committed to start really ramping up with – so that is something you can expect that there'll be a lot more work there done in the next quarter for sure. Any other questions?
Unidentified Company Representative: Brad asks, what are the headwind and tailwind Freelancer is facing?
Matt Barrie: It's a good question. We did for some time have a headwind coming out of COVID. Now that has well and truly passed. But when COVID came along, you had an incremental volume coming in of people, clients and freelancers who were forced to kind of use to go online to look for work because they were in lockdown and the business couldn't operate. It was pretty brutal coming out of COVID because it wasn't just that incremental volume that was coming in. It was basically coming out of COVID, nobody wanted to work on their startup or work on their business. Everyone wanted to go on holiday. So kind of the incremental volume coming in and then kind of had a big tide out. So that historically has been, but is not today. I think we've got a good tailwind with AI. I think AI is absolutely phenomenal for our business. The skills of all our freelancers now has been lifted substantially. You could be an average copywriter. You're now an exceptional copywriter. You could be an average designer. You're now an exceptional designer. We're imminently waiting for this to happen in software development. I think we're maybe a few months away, maybe even weeks away of a, what I call a Midjourney moment, where you'll be able to write software using AI. And the leap in productivity will be such similar to the leap with ChatGPT and the leap that's been with Midjourney. So I think it's been a phenomenal – has been and will be a phenomenal tailwind for us. I also do think before, just as you did – I mentioned you had web development, you had app development, and then you've got AI development. It's going to be quite a transformative function for every small business to basically deploy AI agents to do support, to do sales and so on. And there's quite a lot of corporate knowledge that needs to go into that development. It's not going to be as simple as get a Google package and hit a button and off it goes and [launches your phone to you]. There's going to be a lot of information will have to be loaded into the knowledge base of these systems, which means that you're going to go to the same place you get your web development done and your app development done, which is to go effectively to a service provider to do so. So I think that's going to be a good tailwind for us. I think it's going to be a huge tailwind, and I think it's not too far away. It just needs a good demonstrator. It needs something like a Commonwealth Bank to come out and demonstrate that they're using AI very effectively to do customer support. And then every small business will come on and realize, hey, how do I get that done for my business? And the fact it's quite accessible. You don't need a team of PhDs and machine learning to do it. It's really just software developers to deploy using APIs and I think that's going to be fantastic. Adam, do you got any other comments here about headwinds or tailwinds?
Adam Byrnes: Well, I just think the momentum as well in the product team, I think we've solved a lot of our kind of internal issues and really trying to – basically just, I'm not really going to talk about the macro side, but more just internally, I think we really lifted our game on product quality and it's starting to show in terms of the results basically.
Matt Barrie: Okay. Any other questions?
Unidentified Company Representative: Yes, there's three more. Adrian says from Atomic says congratulations on the strong cash flow result for Q3. Can you talk about the seasonality of this in the financial year?
Matt Barrie: So we avoided a lot of the negative seasonality you're supposed to have this year. So today what happens is – to run through the course of the year, I'm just talking about Freelancer here because Escrow behaves a little bit differently. But effectively you have a very short drop for New Year's Eve. The first Monday back after New Year's Eve, you basically have a very strong uptrend from January right through to Easter, so that you have a very strong uptrend for the beginning of the year. It gets to Easter and really from Easter to August, which is the Northern Hemisphere summer, you have a very strong downtrend during that period as you have a lot of holidays and you'll have the summer. You've got a couple of religious or localized holidays such as Diwali and Eid, where you do have liquidity drying up a little bit on the Freelancer side, although I think we know how to manage that very well now. So that's – those particular holidays aren't really so much of an effect for us now. Or if they are, they're very short, maybe a day or two. And then really from now to the rest of the year, you just have a trend up usually in basically activity until you get effectively to Christmas Eve and you have a short sharp drop and then big bounce up around 4th, 5th of January whenever the first Monday is typically. So that's what seasonality looks like this year of product success and improvements. We avoided the downtrend you would normally have across that Easter to August period. So that's doing pretty well. In terms of Escrow seasonality, you do sometimes have with the Northern Hemisphere summer, you'll have a little bit of a drop where – because a lot of our transactions for Escrow are, especially the large value transactions which require brokers and are very bespoke, in August, that you will typically have a little bit of a lull there. So we've just been through that. And then people like to close deals just before the end of the year. So sometimes you'll have a few things kind of rushing before the Christmas holidays to close and so you might get a little bit of volume in and then you have a strong January onwards. So it's a little bit different from Escrow's perspective. Calling on from Loadshift, there's a couple of periods where you can't have heavy haulage trucks on the road, particularly in January. You can't have trucks on the road until I think about 15th of January. But typically you'll have a low seasonality period till about mid-Feb. Apart from that, you have a strong demand just before end of financial year. That is an effect you do see in the Loadshift business where just before June 30, some things get pulled forward from July. Other than that, what else do you see in seasonality? That's pretty much it, isn't it?
Adam Byrnes: Yes. There's an uplift in the financial year in July, and then there's the decrease in December due to the closures, but those dates change each year due to the regulations.
Matt Barrie: Yes. Okay. Any other questions?
Unidentified Company Representative: Alan asks, what are the plans for the two new directors, Craig Scroggie and Patrick Grove?
Matt Barrie: So we're pretty excited and pleased that we've got both Patrick, who's an exceptional operator in marketplaces and Internet businesses joining our Board, and more recently, Craig Scroggie, who runs NEXTDC, which is Australia's leading data center operator. Both are great operators of technology businesses. Both have already been of great assistance with customers and also with various other more corporate activities we've been working on. They're all both very new to the business. So I think Craig has just participated in his second Board meeting last night and I think Patrick's on his third. So they are new to the business. They are still learning the ropes, but they've both been very helpful so far, both with customers and also with more corporate dev style activity. And so we're pretty excited to attract such high caliber talent to the Board of the company. And one thing we had feedback from investors in the past was to augment the team at the Board level with more capabilities, and I think we've done that. These are both world players that have built billion dollar businesses that are exceptional with great experience and skills. So very happy to have them on the Board.
Unidentified Company Representative: [Greg Ward from Trafalgar Capital]. You own a number of domain names worth well over $20 million in value. Do you think it makes sense to sell one or two of these and redeploy those funds into funding a quality CEO for Escrow and driving sales growth in Escrow, the business that has the potential to change the enterprise value of Freelancer the greatest in the shortest time? If this is a good idea, can you put a time deadline on this action?
Matt Barrie: We do have a good portfolio of domain names. It's actually worth, I think, substantially north of US$20 million. In fact, one of the names in itself is worth US$20 million. Look, we are open to potentially – we've got a pretty strong portfolio of domain names. We're open potentially selling one or two of them. We received offers on some of them and not at the level we want. At some point possibly might do that, we might not. But it's something to note that we do have in the balance sheet, which is not recognized in the balance sheet formally is, we do have a very strong portfolio of very high value, very premium domain names. And some of those domains – domain transactions we see now regularly. If you've got just a keyword, just a basic English keyword that you find in the dictionary, those domains now regularly go for US$1 million to US$2 million. If you've got a premium name, which is like a, the canonical name for an industry, for example cars.com or machinery.com, basically the premium, the word that people are searching for with that particular category, we see them going for US$10 million to US$20 million or even higher each. So we have a fairly solid portfolio of that that's not recognized in terms of the balance sheet. In terms of would we hire a CEO into Escrow and would we potentially let that business go on its own journey, a little bit more independent from the group? I'm completely open to that. As I think I've said in previous calls, I had three term sheets actually in 2021 – well, two term sheets and one verbal for investing substantial amount of money in that business. We were targeting US$50 million for a raise in 2021. And in fact, I had valuations that were extremely attractive, much higher than the actual market cap of the group for funding that business. Now as it turns out, the timing didn't work in terms of getting those deals closed, but I am open to potentially looking at it again. I'm not going to set any timeline on if or when that may occur other than the fact that we are open to with all the businesses depending on the situation and depending on what the proposal is. There's a lot of optionality we have with each of the three companies in the group in terms of their future. I don't think any of the three businesses really are recognized properly in the market cap of the group right now at all. So we will look at options potentially to realize that, but I don't want to say any time line on that. Any other questions? Okay, I'll leave it open for a few – another minute to see if anyone wants to ask a question. As I said previously, you can address it to myself or any of the other people in the room. Any other questions?
Unidentified Company Representative: Ray just said you're not alone in that thought.
Matt Barrie: Okay, thank you, Ray. Okay, if there's no other questions, I'll call the results meeting to a close. As per usual, you can contact myself directly at matt@freelancer.com or through the investor email list at investor@freelancer.com to range a one-on-one. We're open to a meeting either myself or with my executive team at any time. So please, thank you for joining us today and I look forward to talking to you in the next quarter's results. Thank you.